Michele Ciavarella: Good morning, everybody. This is Mike Ciavarella, with Elys Game Technology. Thanks for joining us this morning for an investor presentation, and I apologize for the delay in getting the event up and running. Ran to a bit of a technical glitch. But we're all here now, and thanks for the audience. We have good group on this morning. So first, the game plan here is, we'll go through the slide deck for a few minutes, and I'll just kind of skip through since we're behind. Then, we'll get into maybe some highlights of the third quarter results. talk a little bit about some of the events that transpired through Q3, where we stand in terms of the companies’ movement into the U.S and Canada, as well as our developments in overseas operations, and then we'll shift to a Q&A.  So to begin, of course, this presentation may contain forward-looking statements. Please do not rely on those statements and turn to our filings with the Securities and Exchange Commission. So what we've created with Elys Game Technology, is an Advanced Sportsbook Ecosystem. And what that's made up of is three components. First, you have the core technology, which is the betting platform, and 2. the software development team that essentially gets data from the other 2 divisions, which essentially is a B2C operation, through the Italian arm.  So we get an understanding of how bettors play, and we get an understanding of their behaviors, and what though the types of betting that they're doing that makes a lot of sense; and 3. we coupled that with a B2B side of things where we are able to provide our technology that we've developed in that challenging B2C market understanding, and we've connected now a risk management team in the U.S. market with USBookmaking. And what we've created, is essentially a feedback mechanism that knows exactly what the market offers, in exchange for what players are looking for.  So just looking at the schematics of the technology -- and I apologize, we're having Internet connection problems, everybody, in case there's a bit of a delay. So the Internet, so -- excuse me. The product differentiators, as many people that have been with us for a number of years of certain gotten the know, is 1. Our technology is state-of-the-art. It's one of the newest betting technologies that's built on a microservices architecture. And that differs, of course, from the monolithic or the older type of platforms that despite that, they are very powerful as well, this gives us an opportunity to have a highly - scalable architecture with a limited footprint.  And what that does, it allows us to scale down as much as it allows us to scale up. What I mean by scaling down is, the difficulty with providing technology in our industry is, sometimes it's too expensive for the operators to be able to set up. For example, if you're a small business, or a small casino, or things of that nature, it's very difficult to set up because the providers cannot simply set up their system in your location for less than a significant amount of money. And what we're -- our architecture allows us to do, is provide that digital experience in a retail location for very low cost.  And we're demonstrating that now with our first operation in the U.S. So two key combinations here that, generates value for U.S. operators. The first half, if you will, is the talent. And that really is critical. We talked a lot about that because essentially our industry is very unique than any other sector on the planet. It's an industry where your customers are actually coming in to take money. Okay. That's what they are coming into do, they're competing with you. So you need to have the talent to be able to understand that, be able to risk manage the offerings. In other words, you want to offer a very competitive product, but you want to make sure you don't put yourself out of business.  That's the key structure there. What we have is, on the left side we've got our talent with USBookmaking in the U.S that understands the way the mark is driving. We have that same dynamic in the Italian market where we have very talented traders there, all working in-house, and we're able to offer a very competitive product both in Italy as well as now moving into Canada and U.S. So that we're able to manage the risk of the Company, negotiate with players that are a little bit sharper and they are trying to be a little bit acuter, if you will.  So basically it gives us the ability to be able to be a genuine bookmaker. And that really is one of the key value propositions here. The second one is when you deep dive into the technology, you find that that technology is very cost-effective. It's purpose-built for this industry. And that's what operators are starting to like. They're starting to see it more. We're getting in front of a lot of operators and they are able to see all the powerful, unique features that are built right into the engine. Now in the engine of the trading, most players don't see that. Most players see what's upfront, they're looking for good odds, they're looking for all of the variety of games that are being offered around the world, etc.  But what the operators need is they need the ability to have business intelligence and be able to manage their business properly because if the sports bettors put the businesses or the operators out of business, the business won't last very long. Therefore, they have to have a number of unique features that get their finger right on the pulse of what's happening in the space and in their actual business. That's Elys Gameboard provides. Taking a quick look at what the opportunity is for those folks that are just new to the story, one of the key things that have happened in our industry over the last few years is the repeal of the prohibition of sports betting in the U.S. And that happened in May of 2018, with the repeal of the PASPA law.  And what the opportunity is here is that we're taking an industry that probably is in the neighborhood of $30-35 billion currently. But most of that up until PASPA -- when PASPA was the prohibition that was preventing sports betting, most of it was being played illegally or offshore. What we're seeing now is an amazing share of them, an amazing opportunity that's going to occur over the next 10 to 15 years, as that business starts to come to, let's say, into the light and become legalized. So it's a really brilliant opportunity, in any kind of given market or industry, and we're at the forefront of that.  It's very early days in the U.S, and we're extremely well-positioned for this opportunity. Just really  what we -- we've already made some significant announcements about the fact that Elys, for the past few years, has been doing a couple of things. First off, assessing the market, assessing what is needed in the market. And again, this goes back to the fact that we have a tremendous amount of experience. And knowing that when PASPA was repealed, a lot of our competitors simply repurposed their European platform and moved in. We did not do that, instead we assessed the market. While the opportunity was going to be, we then designed and built the Elys Gameboard in its own environment to deploy in the U.S, instead of repurposing our European platform.  The key being that you want to make sure that there's no bugs and that the system is able to do what it's designed to do in a brand-new market, a market that trades much differently than the European market. So that being said, we recently, in October, not only did we get our license, our first license in the U.S, which sort of validated the fact that the business is properly organized., but we also rolled out our first location and we opened it up in a small restaurant bar. And the purpose of doing it that way, is because there's no competition in that segment. We really know of no other provider that is able to scale their system down, to be able to provide a cost-effective product for their small location and be able to do it in a, let's say, a profitable manner.  So that the -- we're showing that, we've demonstrated that in that segment, now we're able to take our platform and actually expand out to the larger providers in the nation. That was the game plan, and now we basically have bookends and we're going to fill in the gaps. Quickly here, this was the -- in Q3, we also saw the completion of USBookmaking coming onboard and becoming part of the team here with Elys. It was really quiet a significant strategic deal that brought that highly talented team over to Elys so that we could replicate the performance that we have in the Italian market in the American and Canadian markets where those folks at USBookmaking truly understand that market much better.  We're giving them the most powerful technology and all the nuances around that, and we're able to start expanding in the U.S in a very comfortable manner. Recently, we've done a joint announcement with Ocean Casino Resort in Atlantic City where they've partnered with us to plan out their next phase of their sports betting offerings at their location. We're really quite excited about all that, and I think that we hope it really resonates with our investors. Turning to the economics of our business. We're in extremely strong position in terms of the balance sheet of the Company.  We have good cash, sustainable cash that's able to carry the Company, and we have no debt. And that really is quite important. We don't have the overhang of having to concern ourselves with debt and creditors and so on. And we've done that by smart investing and making sure that we get -- didn't get into any funky type of financing deals. So that really was quite important. And we're really well-positioned now for the expansion in North America. So just a quick snapshot here of the operations and the operating results. Clearly the Company is no slouch. I mean, we're not -- we're certainly not trending in billions of dollars but we have ramped up our sales, what we call our handle or the betting turnover.  At the end of September where we hit approximately $626 million in terms of handle, that converts or translates to about $33 million in terms of revenue, $33.8 million or close to $34 million in total revenue for the first 9 months of the year. That really, when you compare it against prior years, you can see, we're on a good growth trend. And the key feature here, or the key discussion point is, this is a growth Company. So that means, we're more focused on the top line to be able to capture market, be able to deploy our platform, our technology, and our know-how, not only in our core market in the Italian space and the European expansion, etc., but also in North America. And part of growing into North America as a growth Company, we're reinvesting back into the Company.  For instance, what I mentioned in the prior slide, is the balance sheet is strong. So what we're able to do is take revenue from operations, cash, and reinvest that back into technology build because the future isn't yesterday nor is it today. The future is in a year from now, 2 years from now, 5 years from now. So in order to prepare for that and to provide the right kind of technology for our potential customers as the U.S. and Canadian markets expand, we need to reinvest back in technology. And we think that right now, we're doing all the right moves, we're preparing the platform, and if I may, the deployment of our U.S. operations with no glitches or bugs and having pretty decent performance, is a reflection that we're doing things the right way.  So that causes us to have a little bit higher expenditures, but we're managing it very well. And one of the key points shown above is the majority of -- well, the management team, or the founders of the Company, about 47% of the holding of the Company, are entrepreneurs. We're fully invested in this Company, so we're managing the expenses very tightly, we're secure about our budgeting, and we're going to be very cautious about overspending in the market. But the bottom line is, we are reinvesting back in the Company for growth in the future. Just as a quick summary. The game plan for going to market in the U.S. and Canada here is to capture large piece of the value chain by offering a unique B2B2C revenue model.  What I mean by that is, going back to the first page and that feedback mechanism of how we've created the Company, is many operators in the U.S, they might have a lot of casino experience or alternatively, there is a lot of segments in the U.S market that have never had the opportunity, like small businesses and restaurants, to be able to offer any kind of betting, notwithstanding the fact that we're focused on sports betting. The area of expertise and  not necessarily gambling. We are planning to offer, obviously, not only the technology and hand them the keys and walk away, but also the know-how of how to manage their sportsbook so they can focus on their core business, and we're managing the risks in terms of the sports betting that comes through the door.  Technology again, has been optimized that fit the legislation in the U.S. Again, this goes back to the last 2 years of development. A lot of folks don't quite get it, meaning that they don't quite understand. Why does it take so long? Well, it takes long because the system in each state has to be modified. So we're currently the developing all the modules and all the new launches that have to be ready and able to deploy in those states as we cut across the nation. And we're quite confident, now that we've opened up our first location, we're active now on 5 states. We're going to be assuming a number of customers in those states.  We have 7 active customers, including the small restaurant bar, and we expect that restaurant bar segment to start expanding quite rapidly. And we're also seeing some input, as you guys have seen, with the large resort casinos. That's essentially a bit of a summary of the Company. Last part is again, that point about certification. The Company now how this technology fully certified, easily able to jump into new markets in the U.S. And our customers, be it the large casino operators, or the small restaurant bars, or even the digital B2C operators that will intend to use our system to feel confident, that the Company is certified by ISO, to be able to provide them a system that they can count on. That, essentially, is a summary and the deck of our presentation here.  Now, I wonder if I can get Mark Korb to perhaps give a quick summary. Now, this morning, we issued a press release providing some summary of our betting techno -- rather our betting results of the first 3 quarters. Mark, I don't know if you are available to take the call. I know we had some difficulty here this morning, but maybe if you're on, you can probably recap those numbers. Yeah, I don't see Mark either. Okay. All right. Let me -- maybe I'll take it. Sorry, everybody, we're -- we really had some technical difficulty this morning here. Allow me to bring up my footnotes here. Okay. All right. Okay. Allow me, everybody, to provide a summary of the results of operations for the first 9 months of the year.  The first 9 months of the year were highlighted by again that significant growth that we've seen in our betting handle. We've reached almost $627 million in terms of the trading handle that we experienced. And again, that is just the Italian market. That's an increase, about 77 year-over-year. Again, that's a good reflection of the adoption of our betting technology. The third betting -- third quarter betting handle was about a $163.7 million, and we've yield it to date approximately $42.6 million. So we're right on track to hit our objectives that we set out at the beginning of the year. And again, we're very excited about what's going to happen in the U.S.  Q4 being the first quarter that we are going to be really reflecting our income opportunities in the U.S. and Canada. Again, just going through the summarization here. Total revenue again, up until the end of Q3 for the first nine months, again, increased about 37.3% over the nine months compared to prior year, to $33.9 million. We again are having a very good Sportsbook hold, and again, Sportsbook being the product that adds that element of risk, so we get a higher risk reward profile on that product. Clearly Sportsbook is the exciting kind of opportunity in the U.S. So to have the fact that our betting system is performing extremely well, that's important.  We do see the U.S. and Canada starting to migrate towards a more wholesome, end-to-end type of full suite product where we're going to be able to offer iGaming in addition to Sportsbook. And what iGaming essentially does is, it blends out your revenue. Because the iGaming, and the poker, and those kind of products there, what we call everything other than sports, tends to provide a flat level sort of income or revenue. And the Sportsbook gives you that element to risk, but you have a better opportunity for a return there. That all being said, in conclusion, we had a net loss from operations again at $6.4 million over those 9 months.  And again, this reflects the acceleration of our investment in the U.S. and Canada. Clearly, we have to invest back in our technology, we have to invest back in our personnel. As we expand in the U.S., the more we land locations and we are able to demonstrate our platform, many operators across the U.S are going to be able to see those differentiators for 2 reasons: Number 1, they're going to be able to see a live location. We are now an incumbent operator in the U.S., we're no longer what I like to say is a talking head and saying, well, maybe one day we might end up in the U.S. We are now live in the U.S. with our Elys Gameboard betting technology, so new operators are going to be able to see it.  But just as importantly, operators that has started in 2018, are now going to be able to see it live and going to be able to see the differences between what they currently have versus what they can possibly have with our system. So I think we're extremely well-positioned. And again, a lot of those heavy handed, if you will, expenses are being very well managed by the Company and management. And we do expect that those will level off at a level where we're making up the difference in our revenue streams. Okay. Again, the Company has had very good developments, key milestones that were hit during the third quarter, so we did the closing of the acquisition of bookmakers, which is USBookmaking operating.  And we've onboarded their trading and risk management team. Now there's going to be a process of training and getting accustomed to our betting technology because again, it's really quite unique in terms of what we are going to be doing and offering, compared to what many folks in the U.S. have seen in the past, so it's unique, and we feel that this -- we're, again, really well-positioned for that. And to that end, we were granted our first license. Many folks were asking at the last call, well, what's the opportunity of getting a license, and even if you get a license, do you think you'll be opening soon? If you recall any of those questions, then again, we said that we should be getting a license soon and we should be opening up soon, and we've delivered on everything we've actually said.  In addition, many of the questions were, how -- what -- well, if you -- because we were identifying the Grand Central Restaurant and Bar in Washington, DC as our potential first customer, lot of questions were surrounding, well, if you're going to a small restaurant, what about the big casinos? So we were able to negotiate a deal based on 2 components; again, the betting platform and its capability, as well as the USBookmaking team and their and their ability in the U.S. market and reputation and we were able to sign a partnership for developing in a large New Jersey casino known as the Ocean Casino Resort.  And lastly, we just recently, last week, completed an agreement with Jefferies, which is a large international banking organization to support our growth going forward. And one key point about that is, we did a significant amount and they did a significant amount of due diligence. It took a long time, but ultimately, we were able to get through that process and it really should validate our Company, what our technology is, and the opportunity ahead of us.  That basically is a summary of our opportunities going forward, our quarter in terms of how it's unfolded. And maybe what I can do now is switch it over to Q&A. Give me a moment, while I try to figure this out and get back with you. One moment. Let's see here. I'll try to get to the webcast here. I apologize everyone. So let's go to Q&A. Alright, so I see quite a few questions. And again, let me just repeat, everybody, I truly apologize for the delay getting on today. And I'm really happy with the audience. We have a very strong audience today, and there's a lot of questions here. Let me try to get through from top to bottom.  I'm not sure which one was first, but again, I'll just -- perhaps I'll just repeat the question and if there's any that I think could be handed over to the team I will do so. First question is: do you have an update on the pipeline of business? Have you received any inbound interest since the launch of Grand Central presumably from other bars and restaurants, and do you have any updates on regulatory advancement of the states? The answer is, we have an extremely strong pipeline of business folks. A lot of that business, or pipeline, started to build up as prior to us launching Grand Central in DC. The key point being, is we asked everybody to hang tight because we have a very methodical approach here.  And it's based on our experience being a commercial bookmaker in the European market. You have to appreciate that it's a unique business. So we needed to make sure that our original European platform was not what we were deploying here in the U.S.. It was a brand-new build in its own environment. So we needed to deploy in one location, make sure that there was no bugs, and then launch. And that's what we did. So that pipeline of business was backing up. We had a good lineup and we definitely have folks that now have recently been in talks with us. So we have more than we can handle at this point in time, which is a great problem to have.  That's number one. So we expect within the next few weeks to be able to identify the next best targets in terms of starting -- opening up in other locations. In addition, we also have -- definitely we are a growth Company, but we are not shy about going into other states. As everybody is aware, DC is a state. They manage their -- every single state has their own betting regulations. So we have already prepared the Company -- or rather the technology to be able to address each and every regulatory environment independently. So we're definitely going into other states. We're currently in process of evaluating what those technological differences are, what the regulatory differences are, and what the competitive landscape is, and that is also a key factor.  Next question is, what is our partner strategy for tech rollout? Are we looking at a chain of restaurants, casinos or are we just focusing on individual sites for now? Well, the answer to that question is much broader. We're -- in the Italian market, we have both verticals deployed, meaning we have both channels; the land-based channels where we have a very large distribution of small independent shops that are connected to our technology and are able to offer those -- the sale of sports bets and other products at the counter on an anonymous basis, as well as our digital experience in the Italian market, so we have the mobile and the PC, etc.  In the U.S, we are definitely looking at, not only partnering with the individual small restaurants as I mentioned earlier, but also with the large operators, like the larger resort casinos, but we are also in discussion with some companies and operators that are situated in digital states. And our technology is being prepared for the digital roll out. Now, our roll out in the U.S was quite strategic and I hope everybody could appreciate this. The expansion in the U.S., we started by making sure we didn't put a lot of noise around how the betting technology works.  You need to make sure the betting system is working perfectly. So if we would have put all the, what I'd like to call, bells and whistles, that would've muddied the waters. You don't know if your technology is actually working, because you have so many options and features for betters. So we needed to be very plain vanilla. We've launched that, we realized that the system works, and now we're going to start expanding. And, of course, we were able to demonstrate those nuances or those new additions to some of the folks, for example, at Ocean Casino when they were able to come down to see our system in Las Vegas when we did the trades show, and they were able to see that. So we're not just focusing on individual sites, we're focusing on a wide swath of potential opportunities in the U.S.  The next question is very, very similar, so I'll just skip that. Are we exploring other opportunities? Yes. Regarding the uses of cash so far in 2021, how much relates to build up the U.S. business and did that need to accelerate in the light of opportunities? That's a great question. The reason why that is because yes, it -- through last year, we were very, very prudent, meaning we were just watching our nickels and dimes. We weren't overspending until we got an understanding of what the opportunity was.  Remember, you don't want to overbuild cars if you can't sell them. As 2020 -- excuse me, and of course, yeah, last year was a COVID year, so we pulled back a lot. What you're seeing in 2021 in terms of expenditures, folks, is we had to accelerate that for 2 reasons. 1. As COVID restrictions started to lighten up, it gave us a better visibility on what was going on in the market, not only in our core market in Italy, but also in U.S. And then Canada opened up their market, essentially, approved their regulation to open up the market, so we actually wrapped it up significantly. We actually doubled -- at least doubled the size of our technology team. We've been recruiting and finding new developers that need to be added on. We've added many more people for our U.S. team.  Of course, one of the missing ingredients of this big soup, if you will, was the ability to have talent, to be able to trade U.S. markets. And as everybody knows, part of that key presentation was, that the talented team from USBookmaking was really, one of the missing ingredients, and we now have that onboard. And that was one of the major expenditures in 2021, so that's important. So the tech was 1, the on-boarding of a trading  team was significant and the buildup of personnel for our expansion in the U.S and Canada. Any plans to start accepting cryptocurrency as payment for bets? 1 thing to keep in mind that cryptocurrency, guys, everybody, it's really quite early.  It's not necessarily whether our system will be able to adopt it, it's more whether the regulators are ready to adopt it, and that really is quite important. So there's no, let's say, barrier for us to adopt and plug in what's required because -- and this allow -- this question allows me to expand a little bit more on our technology really briefly. Our technology is built on that microservices, as I described, but it's a modular build. So what that means, is every new thing that comes into either the market or, for example, payment systems or geo -fencing and tracking, and so on. We are able to develop a module and plug it into the software. And that really is a major advantage over monolithic design. So the answer again is we're ready when the regulators are ready for cryptocurrency.  I've heard some commentary -- oh, the next question -- some commentary. How Tech Stack offers better odds for punctures. Can you talk about this further, please? Sure. Really quickly. In order for -- let me start from the very top and come down. If you can appreciate that our business -- the product that we sell, in terms of sports betting, is really smoke and mirrors. Because ultimately, you're competing, you're offering something -- we don't have like, for example, sneakers or running shoes as some people call them. So we don't sell sneakers that one differs from the other. Adidas compares to PUMA. There's always going to be a difference and a preference. In our business, whether you're Elys, or whether you're Grand Central Restaurant, or whether you're Ocean Casino, in our business, the product is identical between one Company and another.  Meaning, if the New York Rangers win the hockey game, the New York Rangers won the hockey game for everybody, not just for me and for the others, and the other team won for the other guys. The result of that sports event doesn't differ between our organizations. The only difference that different -- the only thing that differs between organizations is the odds. Here's what we do. When we develop our system, we realize that the older technologies simply took in all the bets. What that means, it opens its mouth and ingests all the bets. The way they have to manage risk per se, is they have to lay off the bets. And when you're laying off, you're essentially reinsuring your business.  And when you reinsure your business, you lose a little bit of top-end potential. What we did differently is it's a little bit more labor-intensive, but what it is, is more USBookmaking skill. And what it does is it actually negotiates the bet. It goes back to the way this industry was prior to technology coming in, and let's say the Internet being born. So what the system actually does, is it negotiates with the -- let's call it the sharp hunters. Because they are there, and we need them to come to us, because they give us the temperature of what's going on in the market. So when somebody comes in with a real sharp bet and it's really good for them, not so good for us, we try to negotiate the bet. And that really is what the difference is. And it basically allows us to not necessarily shoo them away and block their accounts and that sort of thing in terms of managing their risk.  But what it instead does is it creates a really invigorating environment for them and they come back every day, whether or not we accepted their bet the prior day, and that really is important. But if we don't take the bet, let's call it the good bets for the punters, but the bad bets for us as an operator, that allows us to hold better. And if we're able to hold better, we give back, almost like a discount. You've seen these kind of promotions, and that's part of the promotional process. It means we're able to give better odds because we don't take as many bad bets, and its part of the negotiating process that doesn't scare the smart or the sharp punters away, it keeps them coming back. Okay. I hope that was clear. Since you talked about future campaign to attract more investors. Okay. Look folks, okay, very simply stated, maybe allow me to kind of expand this question, it might cover a lot of things.  So one of the things that we really emphasize even on the last call is, we have a very methodical plan to get the Company out in front of not only just investors, but also potential target operators. The key part about target operators I've already described, number 1, we don't want to go out and open ourselves up to potential bad results especially for our customers and clients like the big casinos and so on if we're providing them a technology that has not been tested and proven. We're coming into a new industry, a new space, if you will, sorry not industry, but space. So you need to make sure that your technology is right so that we're performing well. Again, going back to the prior question about punters, you have to be able to have a good commercial result from offering a product.  If you're going to lose money on every bet you're taking, you're in the wrong business. So it was very important to do that. So we're going to be starting a significant campaign, now that we're feeling confident about our technology, that's number 1. That part, in other words, our growth of our operations, is going to parlay over to the investors, okay? And one of the key parts, I've always stated a number one and I want to make this clear, because folks have followed me over the last few days. We stated last time very clearly, and we want to make sure that everybody understands that, we are not going to start earnings calls until the end of 2021. And what I mean by that is, earnings calls have a very significant regulatory connotation.  Once you start earnings calls, you can't pick and choose which quarter you're going to present. Whether it was -- if it was a great quarter I'm going to do an earnings call, if it was a terrible quarter, I'm not going to do an earnings call. You can't do that. You have to have them regularly. So because it was a very strategic plan to get onto investors, we needed to make sure the technology was right, we had some visibility on what our potential future is, so that now we can get in front of, let's say, not just retail investors, because retail investors have been very helpful in creating some liquidity and getting involved in our Company and talking about our Company and the opportunity. But now, we need as an organization to get out in front of institutional investors.  And part of that process, is getting an organization, for example, I mentioned during the presentation, an organization like Jefferies to get behind us, due to the due diligence, get your name behind it, and confirm for not just the retail audience, but also the institutional audience that the Company is verifiably solid. That's been done and that really is the message we'd like to send out. Now that we've deployed, we are definitely going to be starting our campaign to get out into -- in front of investors, and I think that's the answer to that question. Q3, your handle was up year-over-year, but the  are down. Yes. And I'll tell you a very simple answer: Italy won the European Cup, okay? That didn't go well for us. It went really nicely, but it didn't go well for us commercially.  That was a big payout. And at the end of the day, the behavior of betters is if they're getting a fair product and they went today, they're going to come back to you. So we're going to continuously see those fluctuations, because that's the industry that we're in. The key point here, is we've had a handle increase because again, Q3 shows primarily European operations. It shows a great uptake, which reflects these optional platform. And of course, we had the European Cup, which was really the first event after the COVID shutdown. So there's a lot of enthusiasm. It was exciting for us to get the handle up. But Italy won. What could you say? So we're going to continue to see those fluctuations as time goes on, because that's the business. The key part, that I want to take everybody's attention to is we're having a positive revenue, not a negative revenue. And that really -- I hope that that really addresses that point.  So again, we're still on track with our goals for 2021. And then as 2022 rolls in, we're going to start plugging in our U.S. and Canadian revenues if we are able to get those locations deployed well enough. And that is what the game plan is for 2022. We think that that's going to be better reflected. What happened to the call? I don't know. So for Vic it's -- Vic, I don't know if you can pipe in, if you're on the Zoom call. Is it generally true that you were involved in the buildup of William Hill business in the U.S. that is now in the hands of Caesar? As such, do you still have relationships with casino operators. We'd be looking to for a new Sportsbook partner, like Oceans.  I hope everybody, Vic, if you're online, I don't know if I'd see you, folks again, we're just having some vocal difficulty with connecting everybody. But the answer, folks, is that the market in the U.S and Canada is really quite dynamic. Whether -- number 1, there's 2 things. At 1 point, yes, Vic was very well involved in William Hill and launching them. And William Hill has done a terrific job of deploying their operations in the U.S. One of the key factors with the acquisition by Caesars, is there's a dynamic going on. And ultimately, other casino operators out there are definitely going to be considering whether they're -- they want to share their customer data with 1 of their competitors.  So that really is the nuance around thinking about the likes of William Hill, and potentially, what could be happening in the market there. But it's not just the William Hill operators, it's also the other ones. I mean, there's -- what we're also seeing a major dynamic in the U.S is there's a lot of new operators in the U.S. This is a brand-new business in the U.S. Think about it, folks. Remember, up until only a few years ago, this industry was prohibited. The only place you could really bet was 4 grandfather states, the primary one being Nevada. Now we're seeing it across the nation. So you're seeing new regulations come in. Regulators that are not really accustomed. They're not quite sure what a sports bet is, and how it works. Remember, sports betting is not casino.  It's a risk product. And you need to have the talent of guys like Vic and his team at USBookmaking and our team in Tanamo, Italy, because they need to have their finger on the pulse. Remember that side I described. Understanding what the market is giving, where the odds should be to be competitive with the other players, and also be able to offer a fair product to your customers. Another question: what's going on with the call? I hope that was because we couldn't get on this morning. I'm just looking for the better -- the questions that might be valid here. They're all valid, but I'm just trying to get them in the next moment here. Let me just answer this question about stock price. Again, on the last call, we said that we didn't expect to start earnings calls until the end of the year, that's very important. We also stated on the last call that we would do the same in Q3, which we just filed last week.  And again, I -- we've always stated that a lot of companies file their quarter report and 5 minutes later, they want to be talking to everybody and want to get everybody's questions in about the 5 minutes time. It takes us hours to read those things. So you need to truly understand a little bit. We'd like to give everybody a bit of a chance. At the end of Q2, we gave everybody a week to read it, we wanted very good, meaningful questions. And that was our -- we did state at that time that we would do the same thing here, and we did it. And unfortunately, we saw a negative reaction, but we're quite confident that that sentiment is going to change. And again, I guess, answering a couple of more of these questions, the key response to the question about the stock price is, don't take your cues on buying and selling your shares of any Company, not just ours, from anonymous social posts.  Taking information from a credible source, which is the SEC filings or the summary from the press release. Some of those press releases are a bit emotional, they're very promotional, so you've got to have the cut through the chase. Essentially right now, everybody, the long story short is our stock price is too low. There is very little fundamentals behind the current stock price valuation. The stock price is lagging far behind the Company's sales and turnover, revenue, tech, developments, and, more importantly, the opportunity in the market in front of us. We've never seen in any kind of industry the opportunity that the U.S and Canada, which essentially are going to be probably the largest grouped regulated market in the world over the next 5 to 10 years. So I think our Company is extremely well-positioned and the true price will be found relative to revenue technology advantage in the market opportunity over a very short period of time.  We're now going to start getting in front of the investors and I think that that should change the tide. Okay. It's come up to 9:30, just a little bit past, everybody. I know we kind of booked only one hour. I hope I was able to answer all the questions. It looks like there was some duplication in questions. Again, I truly appreciate everybody's time this morning and please, keep following the Company. We anticipate some developments over the course of the next few several months. Okay? Thank you all very much for attending, and we'll see you all shortly.
End Of Q&A: